Operator: Welcome, ladies and gentlemen to the Bird Construction Third Quarter 2016 Financial Results Conference Call. We will begin with Mr. Ian Boyd’s presentation, which will be followed by a question-and-answer session. [Operator Instructions] Before commencing with the conference call, the company would like to remind those participating that certain statements, which are made express management’s expectations or estimates of the future performance and thereby constitute forward-looking statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that, while considered reasonable by the management, are inherently subject to significant business, economic and competitive uncertainties and contingencies. In particular, management’s formal comments and responses to any questions may include forward-looking statements. Therefore, the company cautions today’s participants that such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company’s estimated future results, performance or achievements expressed or implied by these forward-looking statements. Forward-looking statements are not guaranteed of future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statement, whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Ian Boyd, President and CEO of Bird Construction. Please go ahead, Mr. Boyd.
Ian Boyd: Good morning, everyone. Thank you for taking the time to participate in our third quarter 2016 conference call. With me today is Wayne Gingrich, our CFO. During the first nine months of 2016, the company generated net income of $19.2 million on construction revenue of approximately $1.16 billion compared with $9.9 million and $1.03 billion respectively in 2015. In 2015, the company recorded a onetime after-tax non-cash impairment charge of $20.3 million for the impairment of goodwill and intangible assets relating to the company’s investment in its wholly owned subsidiary, H.J. O’Connell Limited. Adjusting for the after-tax non-cash impairment, the company would have recorded adjusted income of $30.2 million, which is a non-GAAP measure. Year-to-date revenues have grown organically by 12.4%, although gross profits have declined from $87.1 million in 2015 to $67.9 million in 2016, which is driven primarily by a shift in the composition of the 2016 work program from higher margin industrial projects to lower margin commercial and institutional projects. During the third quarter of 2016, the company generated net income of $6 million on construction revenue of $407.7 million compared with an adjusted net income of $14.7 million, a non-GAAP measure that excludes the impairment charge on construction revenue of $389.9 million in 2015. The variance is primarily a result of the shift in the composition of the 2016 work program from higher margin industrial projects to lower margin commercial and institutional projects. The effect on earnings was, to some extent, offset by the additional profit realized on higher revenues resulting from organic growth. In the first nine months of 2016, the company secured $824.6 million of new contract awards and executed $1.16 billion of construction revenues. And success in securing new work through the first nine months of the year contributed to a backlog of over $1.33 billion at September 30, 2016 compared with $1.66 billion at December 31, 2015. The decline in backlog from the end of 2015 is representative of the fact that the company has not secured a major project in 2016 as opportunities have been limited. The company has been successful in securing many smaller strategic projects with opportunities for expansion and scope as the company looks to diversify its revenue streams into new markets and with new clients. The third quarter did see an increase in bidding activity on PPP and alternative finance projects as there now are three active projects in pursuit, all of which are scheduled to be submitted in the next two quarters. The company was also part of the team that was short-listed on the Regional Express Rail - Stouffville Corridor project. Bird Construction Inc. announced yesterday after the close of markets that its Board of Directors has approved a reduction to the monthly dividend by 48.7% to $0.0325 per share from $0.0633 per share. On an annualized basis, the new dividend rate is $0.39 per share, down from $0.76 per share. The new dividend will be effective in January of 2017 and will be paid on February 17, 2017 to shareholders of record as of January 31, 2017. The company has adequate amounts of both working capital and equity, but the expectation for continuation of a slow resource sector and the resultant impact on earnings combined with the anticipated increase in PPP and alternative finance projects which requires a healthy balance sheet, had led to the decision to reduce the monthly dividends. The reduction in the amount of our monthly dividend will allow the company to build equity and working capital to levels that are otherwise attainable if the current dividend rate was maintained. The resulting expected increase in both working capital and equity will be used to support the execution of the company’s diversification strategy. Our strategy is centered on diversification of our work program and earnings base. We will continue to pursue larger, more complex projects, particularly in the PPP and alternative finance market, in both social infrastructure and transportation as an active participant in the concession and as a design-build contractor. We will focus on increasing our presence in the MRO market in Western Canada through our self-performing mechanical and civil platforms and build a work program around environmental or green opportunities in water and wastewater process, composting and biosolids. The board and management are committed to providing shareholders with a meaningful dividend that both returns cash to shareholders and protects the long-term health of the organization. Sustainable dividends remain a key component of our shareholder return strategy. nine months ended September 30, 2016 compared with nine months ended September 30, 2015. During the first nine months of 2016, the company generated net income of $19.2 million on construction revenue of $1.16 billion compared with $9.9 million and $1.03 billion, respectively in 2015. In 2015, the company recorded a one-time after-tax non-cash impairment charge of $20.3 million. Adjusting for the impairment, the company would have recorded adjusted net income of $30.2 million, a non-GAAP measure on construction revenue of $1.03 billion in 2015. The reduction in 2016 net income was primarily a result of the shift in the composition of the 2016 work program from higher margin industrial projects to lower margin commercial and institutional projects. The effect on earnings was to some extent offset by the additional profit realized on higher 2016 revenues and a reduction in general and administrative expenses. In the nine months ended September 30, 2016, the company’s gross profit of $67.9 million compares with $87.1 million recorded a year ago. The $19.2 million or 22% decrease in the amount of gross profit is a result of the lower gross profit percentage on commercial and institutional projects, which are becoming a larger proportion of total revenues. This shift in our work program to one comprised more heavily of commercial and institutional work is due to the strong organic growth the company achieved in this market sector primarily due to the award of many PPP and alternative finance projects in 2015 combined with the decline in the industrial work program as a result of continued low commodity prices. To-date, in 2016, the company’s gross profit percentage of 5.9% compares to 8.4% recorded a year ago. In addition to the impact of the shift in gross profit, the year-to-date results were impacted negatively by the wildfires in Fort McMurray area in both industrial and institutional project sites. As of September 30, 2016, all project sites had remobilized. The impact to profitability in the year due to the delay and remobilization costs incurred as a result of the wildfires is approximately $4 million, most of which was incurred in the last two quarters. The second quarter results were further negatively impacted by two projects where the estimated cost to complete increased by $3.2 million. The company has put the owner of each project on notice of our intention to file claims related to design deficiencies and other issues on cost associated with schedule delays. Due to the complexity of the projects, we expect the claims process for each project to extend beyond the end of 2016 to resolve. In the nine months of 2016, general and administrative expenses of $42.9 million, or 3.7% of revenue compares with $44.2 million or 4.3% of revenue in 2015. The decrease in 2016 expenses is primarily driven by a reduction in the compensation costs and lower project pursuit costs compared to those incurred in 2015. Finance income in the first three quarters of 2016 of $3.3 million was $2.1 million higher than the $1.2 million recorded in the comparable period of 2015. The primary reason for the increase in 2016 finance income is due to the fact that the company incurred a $1.6 million net loss on the disposal of a significant portion of the company’s investment in preferred shares in 2015, a circumstance not repeated in the current year. Finance costs of $2.4 million were comparable to the $2 million reported in the same period of 2015. In the first nine months of 2016, income tax expense of $6.7 million was $2.9 million lower than 2015, which is consistent with lower current period pretax earnings compared to the 2015 pretax earnings adjusted for the non-cash impairment charge, which was a non-deductible expense for income tax purposes. Three months ended September 30, 2016, compared with three months ended September 30, 2015, during the third quarter of 2016, the company generated net income of $6 million on construction revenue of $407.7 million compared with a net loss of $5.6 million on construction revenue of $389.9 million in 2015. The net loss in 2015 is primarily attributable to a one-time after tax non-cash impairment charge impacting net income by $20.3 million. The decrease in the amount of 2016 earnings compared to an adjusted net income of $14.7 million, a non-GAAP measure, is primarily due to the realization of a lower gross profit percentage resulting from a shift from higher margin industrial projects to lower margin commercial and institutional projects. Construction revenue of $407.7 million was $17.8 million or 4.6% higher than the $389.9 million recorded in the third quarter of 2015. The increase in construction revenues is largely due to the execution of the company’s significant commercial and institutional work program, including many PPP and alternative finance projects. As expected, the company’s industrial revenues declined relative to those recorded in 2015 primarily due to the reduction in capital spending programs of many of our industrial clients in response to low commodity prices. In the third quarter of 2016, the company’s gross profit of $23 million was $11.8 million or 33.8% lower than the $34.8 million recorded a year ago. The company’s 2016 gross profit percentage of 5.6% compares to 8.9% recorded a year ago. The decrease in both the amount of gross profit and in the gross profit percentage is primarily a result of the project mix shifting to a greater proportion of commercial and institutional work as the industrial work program ramps down. Despite strong organic revenue growth, the margin profile of the commercial and institutional work program is not as high as the industrial program. In the third quarter of 2016, general and administrative expenses of $15.4 million or 3.8% of revenue compares with $14.3 million or 3.7% of revenue in 2015. The increase in 2016 expenses was primarily driven by an increase in pursuit costs related to PPP and alternative finance projects. Third quarter pursuit costs in 2016 were $1.3 million compared to $0.1 million in the same period last year. The company also recorded a provision for an onerous lease in the third quarter for $1.1 million related to an office lease that is expiring in less than 2 years where the staff is relocating to another Bird office location. These cost increases were partially offset by lower compensation expense. Overall, the company remains diligent in managing our cost structure and is always looking for ways to gain efficiencies that will increase the productivity of our staff and enable us to remain lean. That being said, we continue to be opportunistic and make key hires in our business to enhance our ability to achieve our strategic objectives. Finance income in the third quarter of 2016 was $1.2 million – sorry, finance income in the third quarter of 2016 of $1.2 million was $0.5 million higher than the $0.7 million recorded in the comparable period of 2015. The amount of 2016 finance income does not include the negative impact of a $0.2 million mark to market loss recorded on the company’s investment in a portfolio of preferred shares, which was reported in the third quarter of 2015. These preferred shares were sold in 2015 in order to limit the company’s exposure to fluctuations in our market value. Finance costs of $0.7 million were $0.3 million lower than the $1 million reported in the comparable period of 2015. The decrease was primarily due to lower interest expense on loans and borrowings as many of the facilities were fully repaid during 2016. This was offset slightly by higher interest relating to additional non-recourse debt used to finance two alternative finance projects secured in 2015. In the third quarter of 2016, income tax expense of $2.1 million was $1.3 million lower than 2015, consistent with lower pretax earnings compared to the 2015 pretax earnings adjusted for the non-cash impairment charge, which was a non-deductible expense for income tax purposes. Outlook, at September 30, 2016, the company is carrying a backlog of over $1.33 billion, representing a reduction from the $1.66 billion carried at the end of 2015. The reduction in the level of backlog through the first nine months of the year was expected given the persistent weak market conditions in the industrial sector combined with the anticipated reduction in available PPP and alternative finance project opportunities in late 2015 and 2016. Approximately 30% of the backlog is expected to be put in place in the remainder 2016, which will result in higher total projected revenues in 2016 and the $1.45 billion realized a year ago. The current work program is characterized by a higher composition of commercial and institutional work compared with the last several years, a result of the success in securing a significant number of contract awards in this sector in 2015 and early 2016. As anticipated, the backlog attributable to the industrial work program continues to decline as clients limit capital investment, a condition not expected to change in the near-term. While we remain confident in our ability to generate reasonable revenues in 2016, this change in the composition of our work program will not allow the company to replicate the level of earnings recorded in 2015 adjusted for the after tax HJO impairment loss in the current year. Looking towards 2017, the industrial and resource markets are expected to remain slow, a condition that will only serve to reduce the contribution from this sector even further on a year-over-year basis. The potential offset to a further decline in the contribution from the industrial and resource sectors is the high level backlog in the commercial and institutional sector and the expectations of a healthy pipeline of new project opportunities in 2017. The company currently has three large institutional projects in active pursuit and has positioned itself to pursue as many as seven more of these projects in the near-term, one of which is the Regional Express Rail-Stouffville Corridor project. Successful award of any of these opportunities will primarily benefit years subsequent to 2017. Consequently, with the reduced gross profits available in the industrial market, the increased cost to pursue PPP and alternative finance projects and the expected timing of gross profit realization of those projects, if secured 2017 will see a significant reduction in earnings. Industrial market sector contributed 51% of 2015 revenues and 57% of 2014 revenues. The uncertainty in the energy sector in Western Canada, which has resulted in a reduction in the number and size of construction opportunities, is similar in Eastern Canada where lower iron ore commodity prices in general had limited mining related opportunities for H.J. O’Connell. In Western Canada, new projects, primarily in the midstream oil and gas market segment, will be available when the company is well positioned to pursue these opportunities, although competition is expected to be intense, placing downward pressure on fees. In Eastern Canada, the company anticipates opportunities within the renewable energy sector, in particular for hydroelectric projects along with smaller resource related projects in gold, lithium and iron ore mining. Again, competition for these new project opportunities is expected to be aggressive resulting in compressed fees. The challenging economic environment related to resource development that has persisted since 2014 is not expected to change to any significant extent in the near-term. Although we continue to receive new contract awards in the industrial sector, the projects are smaller and shorter cycle in nature and have been secured at lower margins due to the increased level of competition. Accordingly, we expect the revenue and gross profits in this sector to continue to be under pressure in 2017. The institutional market sector contributed 34% of revenues in 2015 and 24% of revenues in 2014. In the institutional sector, spending is anticipated to increase in the balance of 2016 and beyond to address the infrastructure deficit in Canada and to stimulate slow economic growth. The federal government has announced a number of infrastructure funding programs with specific emphasis on post-secondary education through the Post-Secondary Institution Strategic Investment Fund, public transit systems through the Public Transit Infrastructure Fund, clean water and green initiatives through the Green Infrastructure funding and Clean Water and Wastewater Fund and communities through Social Infrastructure funding. While funding for these for programs had been announced, actual projects have been slow to emerge, although this is expected to change in the near-term with many of the funding agreements between the federal and provincial governments now finalized. In addition, there continues to be a strong PPP and alternative finance market with numerous opportunities expected in 2017 and beyond. The company is in a strong position to benefit from this increase in infrastructure spending and is actively pursuing a number of these opportunities that are currently available. New contract awards for institutional projects slowed in the third quarter as compared to the first half of the year, primarily due to the limited number of larger scale projects available, although the company still has a significant level of backlog in this market sector going into 2017. The revenue and earnings contribution in 2017 derived from this market sector is expected to be strong. The retail and commercial sector contributed 15% of 2015 revenues and 19% in 2014. The company continues to secure new work in this market, although investment by private developers in many of the geographic regions that we serve appears to be measured due to the slow growth and uncertain economic conditions. Consequently, we expect revenues and earnings in this sector in 2016 to decline marginally relative to those recorded last year. The expectation is that the retail and commercial sector will remain relatively unchanged in 2017. So, that’s the end of my formal remarks. We will take question and answers.
Operator: [Operator Instructions] The first question comes from Michael Tupholme with TD Securities. Please go ahead.
Michael Tupholme: Thanks. Good morning, Ian.
Ian Boyd: Good morning, Michael.
Michael Tupholme: I just wanted to start with the dividend. It sounds like there were a number of considerations that you – the board and yourselves have factored into the decision to reduce it. I am wondering if any of those carried more weight – relatively more weight than others, I mean, if you can just sort of talk through that? And then I guess sort of a second part to that question would be the new rate of the dividend that’s been set. Is that based on any particular type of target metric whether it be some kind of a payout ratio target or otherwise?
Ian Boyd: Yes, I guess – and to answer your first question. And so were there any primary reasons? As you rightly point out, there is a multitude of reasons and sort of rationale that goes into any decision of that magnitude to reduce the dividend. And probably the primary one for us has been the balance sheet and ensuring it remains healthy. And the main driver of the healthy balance sheet is the fact that we participate and see PPP and alternative finance projects as the opportunity to be able to replace the decline in the industrial market. And 2017 – actually late 2016 and ‘17 look to be shaping up to be extremely busy in that marketplace. And what happens with the PPP and alternative finance market for us as it relates to our balance sheet is, our cash, while healthy, is constrained to a certain extent by our participation in these through the letters of credits, so contact security that we provide as well as the majority of these projects are done at least in our instance through joint ventures and so that cash gets tied up within the joint ventures as well as through the letter of credits and not available to us for day-to-day operations. So that’s one of the factors. The other factor is that our attracted – to be an attractive partner and also to be able to participate in a concession and be competitive in putting together the financing structure, we could evaluate it on our balance sheet. And so it was important to us to make sure that it maintained – or we maintained a healthy balance sheet in order to remain an attractive partner as well as we could continue to be competitive in a primary market that we see that will help offset the industrial decline. So, that was the primary reason for the decision to reduce the dividend was to maintain a healthy balance sheet on a go-forward basis. So the second part of your question, do we derive a certain target or a payout ratio, I think was essentially what your question was getting at. And no, we don’t. We evaluate kind of what we see is happening on a go-forward basis, what we think we can sustain in terms of a sustainable dividend and what we believe is happening within our operations to be able to fund that sustainable dividend, keeping in mind the balance sheet in and of itself. And then we go through that evaluation and come out with a recommendation as to what we believe the dividend rate should be and that’s essentially what happened here.
Michael Tupholme: Okay. And then just to follow-up on that, going back some ways in time, there was a period over which Bird was increasing its dividend relatively consistently. It’s been fairly stable for a while prior to today’s announcement. Recognizing the factors that caused you to make the decision you did in terms of reducing it today that you just ran through, is there any view to how we should think about sort of the longer term potential as resource-related markets come back? If in fact the infrastructure spending is as robust as some of the government plans suggest it could be, is this a situation where it’s been recalibrated to put you in a better position today, but there is room for potential increases down the line?
Ian Boyd: Well, I think that it goes to just back to what is our shareholder return strategy. And dividends have always been an important part of that return strategy and that will continue to be an important part of our return strategy. I think we look at it from – in terms of the overall health of the organization and making sure we positioned the company to be successful on a go-forward basis with the idea that provided you are – we are successful in executing our diversification strategy. And then if that happens and you get a rebound, to some extent, in the resource pricing, could you see the dividend increase? Yes, I think we have shown the – in our past that, that has been important to us and a big part of our shareholder return strategy. But certainly in the near future, it’s hard to predict what happens with that, because we don’t see a rebound in the resource sector happening in the near-term. And if it does start to happen, remember, we are a lagging industry as it relates to the decline and we are also going to be a lagging industry as it relates to the increase in activity. And so there will be a lag towards some rebound in the resource sector where it actually impacts our business.
Michael Tupholme: Okay. And then looking at 2017 and the commentary around the outlook for next year, I am just trying to understand to what extent things have changed over the last quarter, because it seems to me that the language you are using to describe the outlook for next year in terms of calling for a significant reduction in earnings is sounding than when you described the outlook last quarter as I think 2017 being a transition year. It sounds a lot worse. So, I know you never gave us specific numbers, but is – has in fact there been a sort of a downshift in your views around next year? And if so, what caused that?
Ian Boyd: First off, we don’t provide that quantitative guidance, but I will give you a little bit of sort of color to that. Our outlook in ‘17 is that earnings are expected to see a significant decline and that’s probably stronger wording and is stronger wording than we would have used even as late as last quarter. But what’s happened there is that there has been some anticipation that you will – we will be able to replace the current work program either industrial or even add to our institutional or commercial work program. But the timing has been such that just hasn’t transpired. And so when we start to look at the ability, a) is there any degree of rebound in the industrial sector and we don’t see one in the near term. Combine that with the fact that the timing associated with some of the PPP and alternative finance projects and generally, the funding arrangements that – for infrastructure projects, that’s been announced recently hasn’t happened. It’s delayed the timing associated with it and it’s become apparent to us that when you delay that timing, by the time you actually get these projects and hopefully in a position to be able to secure these projects that the actual impact will be beyond 2017. And that’s probably the primary thing that has changed when you look at our sort of descriptor of what we believe 2017 will look like. And you combine that with the fact that we still want to be able to be in a position to have the healthy balance sheet and also be able to pursue our diversification strategy, which will require some level of investment in some of these other areas that we see as opportunities on a longer term basis.
Michael Tupholme: Okay. And then there has been a lot of discussion for some time now about the mix shift that’s been occurring. And I mean, we have seen it in the numbers and I think we are hearing you talk about it when you talk about ‘17. But where are we at right now in terms of the evolution of that mix shift in terms of industrial rolling off, institutional making up a greater proportion of the revenues and also the ramp up of whatever institutional work you have? As I understand, the – at the early stages on these projects, the margins aren’t as strong in any event. So, even if institutional is generally lower, over time, they maybe strengthened a little bit as you get further into the project. So, I am just trying to understand where we are at in terms of that whole mix. Do things continue to get worse due to mix as we move forward over the next few quarters or are you at a trough in terms of the negative impact from the mix?
Ian Boyd: Yes, I would say we are virtually there in terms of the mix. So, I think the mix on a go forward and whether you describe it as a trough and then ramping back up. But I would say that you look at our industrial work program and what we have seen from major projects that we had acquired late ‘13, early ‘14, the majority of those are done, if not all of them done within the year 2016. So essentially, we are ramping back into where it’s really is predominantly in institutional and commercial work. And that work program, if you look at the work that we secured through the course of 2015, it’s at different stages. But ultimately, those projects are not to be done until 2017 and in some cases, 2018. So to your point, the early stages of these projects – and some of them are sort of early to mid-stage in the current schedule, still doesn’t – it’s a relatively consistent sort of earnings that you get out of those projects. And provided that we can execute them effectively, hopefully, you see some degree of closeout margin that would happen with some of those projects. But again, nothing is guaranteed with respect to that and it requires us to be able to execute and realize that in ‘17 and probably ‘18.
Michael Tupholme: Okay. And then just lastly a question maybe for Wayne, can you talk about the expectations for changes in non-cash working capital in the fourth quarter and then full year ‘17, given the mix of projects and where you are going to be at in terms of ramping those up?
Wayne Gingrich: Certainly. So I think in the fourth quarter, traditionally that’s been a very strong cash generation quarter for us. And I think all indications are that we will have a good ability to generate cash again in the fourth quarter. I think as Ian has mentioned, in 2017, we will see a significant reduction in our earnings. So that is going to impact the overall free cash flow that we are able to generate. But we don’t see any material changes from kind of historical norms in those non-cash adjustments to income for cash from operations.
Michael Tupholme: Alright. Thanks very much.
Operator: The next question comes from Tom Boswell with Boswell Capital Management. Please go ahead.
Tom Boswell: Hello, Wayne and Ian, I just would like you to speak to the nature of the impairment that happened this year and I think there has been once – one before, I mean O’Connell is a pretty interesting company and when it was rolled into Bird, everybody had incredible expectations, could you please elaborate on exactly why this impairment needs to be taken into such an extent, I mean presumably, the equipment is still there, presumably they have a number of projects on the go and yet there are these large impairments taken, which don’t do the overall picture much good, so that’s really the question, I just like to hear a summary of your views on that?
Ian Boyd: Sure. So as it relates to the impairment, we have actually only taken one impairment recently. We did taken an onerous lease charge in the third quarter of 2016. That was related not to H.J. O’Connell, in fact it was related to another element of our business where we had a lease in which we have ultimately relocated our staff to consolidate them in a singular Bird office. So the other impairment that you are – a more substantial impairment, actually occurred in the third quarter of 2015. So my remarks today really were relative to what’s happening to 2016 and then as comparison to 2015. And that’s why you heard some degree of sort of explanation what was happening last year, because we are just trying to compare the two and get them normalized, for lack of a better way to describe it. So the impairment we did take with H.J. O’Connell was in Q3 of 2015. With respect to that, it was clear to us, I mean the new impairment, we are required to do it on any of our acquisitions on an annualized basis. We had to do it in Q3 of 2015 with O’Connell when it became clear that the resource sector was going to be on a more prolonged, downward trend, where opportunities were going to be less. And that’s essentially what the impairment test is. It’s what’s the earnings generation potential of the business unit versus what we thought it was going to be. And obviously, we impaired it. And it’s more with a view that it was not going to be a quick turnaround. When you looked at 2008 and you can even look at that with respect to the financial crisis and the impact it had on Western Canada as well as Eastern Canada, it was a relatively short duration. And while it went deep, it was short. And even if you look at the iron ore side of things, in 2008 I think it rebounded within 8 months to 10 months, where the activity was increased to the point where it was – and it ramped up right through till the end of 2012, more or less, so with expansions in many of the mining companies in mines that we work in – or HJO was working in. So that outlook changed significantly last year when we did the impairment test. So I think that sort of explains the impairment. Obviously, after this quarter, really I guess after 2016, we really don’t – we will not talk about the impairment associated with H.J. O’Connell, at least that was taken in 2015. Now overall, the outlook for H.J. O’Connell is no different than any of the businesses that are in the resource sector. It’s challenged right now. I mean there are very few opportunities. The owners are certainly in cash conservation mode and we are seeing that even to the point where if you look at Western Canada and not where H.J. O’Connell operates, but we are even seeing that what you would expect in the MRO spend, capital spending, sustaining capital, is even less as those clients still are on the mindset of conserve cash. So it really has reduced opportunities. H.J. O’Connell is no different on the – in Eastern Canada, where there are just very little work programs. And what they are is just the amount that has to be done for that mine to operate really and be able to drive as much product through the mine. And so there is no expansions or other things that were transpiring in 2012. So – and the outlook for us does not change in the short-term. So we have some long standing clients but – and we continue to work there, but there is no substantive project out there. And we do see some opportunity in hydroelectric and we continue to pursue those opportunities, primarily in Eastern Canada. And again, they aren’t the mega projects, such as Lower Churchill, of which we are doing some degree of work on, but the Site C is not something that we are looking at currently. This is more the smaller scale hydro projects and even some of the run – the river projects you might see in Quebec and Ontario. So that’s how we see H.J. O’Connell. But no question, it’s a challenged market for them.
Tom Boswell: Okay, so just to be clear. There was an impairment charge in 2015 as well as ‘16, which is the year we are wrapping up, is that correct, so there have been two impairments?
Ian Boyd: No, there has been no impairment charge on H.J. O’Connell in ‘16.
Tom Boswell: Okay. Not just limited to H.J. O’Connell, but just across the board, the impairment charge that shows up in your – the release today – or I guess, it was last night, is what I am referring to?
Wayne Gingrich: I am wondering if you are referring to the onerous lease charge that was $1.1 million charge that we took in the third quarter of 2016.
Tom Boswell: Well, I just want to be sure I am adding up the numbers properly, that’s all.
Ian Boyd: Yes, okay. I think what you are reading in our press release though is just a – it refers to the impairment that was taken in 2015 as the comparison purposes of explaining the results and the relative results to 2015. It’s not referred to an impairment in terms of what we have taken in 2016. There has been no impairment taken in 2016.
Tom Boswell: Okay, good. Thank you.
Ian Boyd: Okay. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I would now like to hand the call back over to Mr. Boyd for any closing remarks.
Ian Boyd: Thank you again to everyone for your participation in Bird Construction’s 2016 third quarter conference call. I hope we have been able to provide you with some appropriate elaboration towards 2016 results and our expectations for the remainder of the year and 2017. As always, we are available if additional information is required, so please do not hesitate to get in contact with us at our office. Thanks. Have a good day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.